Juan Santamaria: [Foreign Language] [Interpreted] Good morning, everyone. And thank you very much for joining us in this 2023 Results Presentation. Our Chairman will be joining us later. Until then, I'm going to proceed with the presentation. I'm here with Mr. Angel Garcia Altozano, who is Corporate Chief Officer; Mr. Emilio Grande, who's our CFO. And as usual, after the presentation, there will be time for a Q&A in which we will clarify any questions you may have. If you're following this online, you can send in your questions through the usual channel. I'd like to start by mentioning the five most relevant highlights of 2023. First of all, the Group has had an outstanding year in operational results. Net operating income increased by 16.6% to EUR667 million, which is on the high end of the range of the guidance we gave for 2023 of 10%. Our income grew by 10.9%, adjusted by ForEx, and our EBITDA rose 13.5%, also adjusted by ForEx, up to EUR1.9 billion. So our EBITDA margin was 5.3%, which was higher than the previous year. And secondly, the Group has had very solid cash flow generation, with over EUR2.2 billion in gross operating cash flow, which grew 10.9%. Our available cash flow for shareholder remuneration and financial investments was EUR1.054 billion. Thirdly, the strong cash flow generation has enabled us to increase our net cash position by EUR176 million to EUR400 million on closing of the year. And all of that after having invested EUR462 million to increase our Hochtief stake and to pay out EUR632 million to ACS shareholders as well as minorities. Fourthly, we've had very strong growth in contract awards, 20%, if we adjust by the exchange rate with over EUR45.1 billion. 44% of new awards have taken place in strategic high-growth markets, including technology sector, energy transition, social infrastructures, including those in the areas of health, education and biotechnology, as well as sustainable mobility projects. We've increased the number of awards in all of our geographies with a total backlog of approximately EUR78.5 billion at closing. And so we are experiencing strong growth, and we predict that this is a trend that will continue in the future. Fifthly, we continue to strengthen our risk management policies. For example, we're including the weight of lower-risk contracts, including partnerships, collaborative contracts, open book contracts and so on, which are currently 40% -- 50% -- 85% of our infrastructure backlog when five years ago, it was under 60%. Looking at the main metrics for 2023, we can see that the Group had an excellent performance in all of its main metrics. First of all, turnover rose by 10.9% adjusted for the exchange rate up to EUR35.7 billion. Our backlog at the end of the year was over EUR73.5 billion, that's 9.5% higher than at the end of last year, with constant -- in constant euros. EBITDA in the year was EUR1.909 billion, 13.5% higher than the previous year at current euros. And net profit increased EUR780 million, that's 16.7%, or 18.5% in current euros. In the next slide, we will see the breakdown of the different components of this growth. Our gross operating cash flow was EUR2.24 billion. That's EUR221 million more than the previous year. By December 30, 2023, the Group had net EUR400 million in net cash, which is EUR176 million better than the previous year, thanks to volume growth, as well as to our new capital allocation strategy. But we'll talk about this in more detail later. In the next slide, you can see the Group's net profit for the year with the breakdown by activity. Our net profit was EUR780 million, that's up 16.7% in a year, thanks to, first of all, Construction, which contributed EUR434 million, because of the excellent performance of the businesses and our bigger stake in Hochtief, with a 28.9% increase year-on-year. On the other hand our Concession business brought in EUR206 million, of which EUR179 million were the Abertis contribution, EUR36 million more than the previous year, due mostly to the recovery of traffic volumes, which grew 3.4% and increase in tariffs above 7%. Net profit from services was EUR28 million, that's pretty much in line with last year's result. And therefore the widespread improved performance of our businesses meant that our net ordinary profit from activities grew to EUR667 million, that's 16.6% more than the previous year. And our total net profit was EUR780 million if we include the impact of non -- of one-offs including the net capital gains of EUR180 million from the sale to Abertis of our 57% stake in highway SH-288. And so the Group's total net profit grew 16.7%. And finally, our PPA was EUR3 per share, which is up 19.7%, that's our earnings per share. On December 31, the Group had a very solid cash position of EUR400 million. That's EUR176 million more than last year's closing. Our gross operational cash flow was over EUR2.2 billion, of which EUR1.054 million, with free available cash flow for shareholder remuneration strategic investments. Investment to increase our Hochtief stake was EUR452 million. And shareholder remuneration for ACS shareholders and minorities by Hochtief and ACS was EUR632 million. Moving on now to looking at the results by activities, we're going to start with construction in the next slide. Construction revenues were approximately EUR33.4 billion. That's up 6.1% or 10.4% in current euros more, while our EBIT grew 13.4% or 19.6% in current euros, up to EUR900 million. Our net margin showed good stability due to improved margins in Hochtief America and the contribution of high value added projects. Our backlog grew 6.9%, or 9.9% in current euros, and is at approximately EUR70.6 billion at the end of the year. Awards increased considerably thank you to -- or thanks to high-growth markets like digital and technology, energy transition, BHE or biopharma, health and education and sustainable mobility. Slide number 8, you can see the revenue and backlog data by region. North America revenue EUR21.6 billion, up 5.1% or 8.8% if you adjust for the exchange rate. The backlog grew to approximately EUR38.5 billion, that's 7% more because of excellent increase in awards to about EUR25 billion. A strong growth of revenues in Asia Pacific with EUR8.1 billion, that's 20% more in local currency. Their backlog grew 4.3% in local currency to EUR19.5 billion, driven by EUR11.7 billion in new awards. Europe's revenues increased 3.1% up to EUR3.3 billion, and the backlog 22%, driven by over EUR5.9 billion in new awards. In this slide, you can see the breakdown of our Construction backlog. Awards were approximately EUR43.2 billion in the year. That's 15.8%, or 19% in local currency. And with stronger growth in strategic segments like digital, technology, energy transition, health, biopharma or education and sustainable mobility, which now represent almost half of our annual awards. In Slide number 10, you can see a list of contracts awarded in our main markets. First of all, energy transition projects, that's a global megatrend, which is still driving strong investment plans by governments, institutions and large corporates, which would include, first of all, the extension of a battery storage energy system in Australia by Neoen, which is one of the main global promoters of renewable energy. And high voltage transport HumeLink west project in West Australia, as well as factories for manufacturing batteries for EV vehicles in the US, including Panasonic battery factory in Kansas and another one for Honda and LG Energy in Ohio. Also the engineering and construction of a lithium hydroxide plant in Australia and a nickel extraction contract in Indonesia. And secondly projects in the digital and technology sectors which continue to grow in all of our main markets. Growth of the data center market is driven by the high demand for computational power and AI, with awards of approximately EUR3.5 billion. Some examples include ten projects of data centers in several states in the US, as well as a multifaceted data center in the Philippines. Thirdly, infrastructure in the area of sustainable mobility and smart cities, which is also a long-term structural growth market. In this area the Group has received several awards for contracts including a network of fast charging for electric vehicles in Germany, the light train in the Green Line in Calgary and Canada, and the development of the first set of tunnels for the Suburban Rail Loop East project for the Victoria government in Australia. In health, biopharma and education, we have projects such as the extension of the Westchester Medical Center in New York, the research and development lab of Labor Kassel in Germany and the Orlando Hospital in Florida, as well as the Bundaberg Hospital in Australia. Group is also well positioned in defence, because of our reputation and expertise over decades. During this period, we have been awarded several projects in our main regions, including two buildings in the Omaha Air Force base in Nebraska for the US State Department or Defense Department and a contract to provide strategic advice, planning, supply management, operations and maintenance for the fuel network of the Australian Defence Force. I should also mention other civil engineering and construction projects, which still represent an important part of our business, including the modernization of two existing business -- buildings of UN headquarters in New York, the extension of Highway US 69 in Texas and the new stadium for the Tennessee Titans for the NFL in Nashville. As for Concessions, our EBITDA grew 35% to EUR304 million, thanks to a greater contribution from Abertis and a complete consultation of SH-288 in Iridium. Net ordinary profit grew 5.7% to EUR206 million. And that's without including a net capital gain of EUR180 million for their sale of that 50% stake in 288 to Abertis. If we included that, net profit in the year would have been almost double, up to EUR386 million. In the next slide, number 12, you can see in more detail the contribution to our EBITDA and the operating profit of the Group of each company. Abertis increased its contribution to the Group's EBITDA up to EUR199 million. It's very excellent performance, was driven by the 7% tariff hikes, most of them linked to inflation and positive growth in traffic volumes with average daily traffic growth of 3.4%. For 2024, planned tariff increases according to the framework agreements applicable will be of over 4.5%. So net profit, Abertis contribution was EUR179 million, that's 25% more. And Abertis paid in May a total of EUR602 million in dividends, of which EUR297 million were paid to the ACS Group. In Iridium, the business remained stable. Constant perimeter, however, the consolidation of 288 increased the EBITDA by EUR60 million to EUR106 million. Although it had an insignificant level on net profit -- significant impact on net profit. The 288 still continues to perform well with tariffs, which went up 14.9% in 2023, and we expect them to increase by 15.2% in 2024 based on growth of Texas gross state product. Continuing with Abertis, last July we signed a new shareholders agreement with Mundys for Abertis global leadership and transport infrastructure concessions. Abertis has an ambitious investment plan to grow his asset portfolio and promote sustainable long-term growth whilst maintaining an optimal capital structure and preserving its credit rating. During 2023 we have witnessed new examples of this strategy. First of all, the acquisition of 56.7% of 288. Transaction price was $1.53 billion, equivalent to $2.7 billion in equity value for 100%. The second transaction was the award of a concession to operate four of the main roads in Puerto Rico for a period of 40 years. The price for the transaction was $2.85 billion. And as agreed beforehand, in February 2024, Abertis shareholders contributed EUR1.3 billion to partially finance these transactions and thus preserve optimal capital structure and strengthen Abertis credit rating. In the next slide, number 14, we can see how, apart from Abertis' assets, which the Group has, it's also got a backlog of 91 assets worldwide with a book value of over 2 billion. And we've got a whole lot of investment opportunities in different segments and regions, which could entail investing in greenfield infrastructure on a large scale. Iridium has been shortlisted for ten different projects, above all in transport, which would be a total investment of over EUR16 billion in North America, Europe and Latin America. Right now we're getting shortlisting processes done for another 38 projects. And we're also investing in growth sectors like digital, technology and energy transition. And in 2023 we invested some EUR150 million in that, along with EUR43 million in traditional PPPs. We've identified a significant pipeline investing in data centers and German transport ministry has awarded Hochtief joint venture contractor, fund plan, build and operate a rapid charging grid for electric vehicles with a total investment of EUR250 million including CapEx of over EUR50 million in energy transition. At the end of 2023, the solar power Glenrowan in Australia came online. Pacific has developed and invested category into this solar power station. And over the year Pacific has also acquired the development rights to the Hopeland solar park for 300 megawatts in Queensland, which is the second solar project we have on such a large scale, which we've achieved recently in Clece, the earnings in 2023 show sound operating performance worldwide and the growth of EBITDA was double-digit, reaching EUR107 million. Our backlog was EUR2.9 billion, equivalent to 18 months of revenues. And amongst recent awards we've got for military bases and Spanish hospitals from the Ministry of Defense, the Adif (ph) contract for helping disabled travelers in the Spanish train stations. We can now move on to the strategic background to our results here. Basically, in the context of our year-end results, I can take this opportunity to talk about how we are rolling out our strategy, which is made up of four main pillars, promoting the integration of the Group's company's operations and simplifying the Group structure, leveraging our global position to capture growth opportunities of investment in infrastructure related to digitalization, decarbonization and reshoring and sustainable mobility, civil engineering and building, reinforcing our risk management and strengthening our balance sheet, applying a disciplined capital assignation strategy to ensure growth and an attractive level of returns for our shareholders. In the next slide, we see the Group as it is right now, an integrated platform, which is promoting growth in strategic sectors, working through companies in three areas. First of all, what we call ACS integrated solutions, an expert in integrated engineering solutions and high added value project management in building digitalization technology, power industry and natural resources. Secondly, we've got ACS engineering construction working on civil engineering and building in general. Thirdly, ACS infrastructures working in transport, education, health, energy, digitalization, sustainable mobility in greenfield and brownfield projects. And now moving -- well, you've seen the organization, now we had things divided over the three segments. But now we can move on to Slide 19 and see the seven strategic initiatives we have focused on improving our risk profile and achieving high growth in strategic markets. I talked about how we're improving the risk profile, focusing our growth on projects whose contractual structures mean that we are sharing risks, reinforcing our engineering capacities organically and through selective purchases in new markets, integrating our global supply chain through our subsidiary, well, Turner's subsidiary SourceBlue, and managing the supply chain. SourceBlue has a rapidly growing purchase volume of EUR1 billion, which has grown very fast over the last two years, giving it a key competitive advantage in new market segments, developing global relations with our major multinational clients. A good example is how we're working with all the hyperscalable enterprises in North America, Europe and Asia Pacific. We're promoting greater operating integration of the companies in the Group, so we can share know-how and achieve greater efficiencies. So we've got a new global platform for innovating the know-how we have in strategic segments that are key to growth. So we're taking the opportunity of not just investing in development of the assets we have, but working hard to invest in future business. Continuing on Slide 20, you can see here the key underpinnings of the Group's strategy, working in digitalization, decarbonization and relocalization. And as I said, this is basically the areas we're covering. In the next slide, you can see another key element of our strategy, the efficient designation of capital in order to support diversification, streamlining and growth, whilst maintaining attractive remuneration for our shareholders. Our investment strategy is grouped into four blocks. First of all, in Abertis, where we're totally committed to working with our partner Mundys to foster growth and value creation through the acquisition of new assets. Secondly, working through inorganic growth. First of all, we're still putting capital into the consolidation and increasing of our technical and engineering know-how. Examples would be the Canadian deal with Novopro and the acquisition of the Skybridge Telecommunication services. Also in infrastructure, we are deploying capital to increase the opportunities we have in traditional markets and growth markets, and also in transport infrastructure as we've been doing for some years. Fourthly, we've got simplification or streamlining. Over recent years, we have streamlined the Group after the purchase and exclusion of CIMIC and we're still analyzing opportunities there. And now we come to our conclusions. I'd like to give you some key take-home messages today, based on our results in the last year. ACS has had sound operating profit, with EBITDA and revenues growing double digits in like-for-like terms. And our backlog guarantees we can continue that growth. Our earnings per share has grown 20% to reach EUR3, which means we are offering a very attractive return to our shareholders. Thirdly, with 16.6% growth in net operating profit from our activities, we've gone way beyond the target established, which was to grow between 5% and 10%. For 2024 now we're establishing the same target. And finally, I can say that we're making further progress in rolling out our strategy to establish the foundations for our growth in the future years with stable cash flow, a sound balance sheet and creating long-term value. Thank you for attending this call. And I hope that we can now answer any questions you might have. Question-and-Answer Session
A - Unidentified Company Representative: Okay. Let's start first with the ones that have come in from online. There's several small minority shareholders who are asking, given the current reaction of the market, whether we're planning any exceptional one-off initiative, or somebody's asking whether we're going to change or modify our treasury stock or share buyback policies. And also with regards to the Group's payout policy, whether we're planning any changes, given all this excellent news.
Juan Santamaria: Well, thank you, Louise. We still believe that our basic value per share should be about 50, and we still believe in our strategy firmly. And the reason why we sometimes do share buybacks is twofold. First, of course, because we use part of our dividend income for that. And also when there's opportunities. Given the fundamental valuation of our share and the current trading price, there will probably be an opportunity, which we will analyze over the next few days.
Unidentified Company Representative: And now, getting to some of the questions from analysts who were unable to attend in person. I'll ask a couple and then we'll open the floor for those of you who are here. Nicolas Mora has sent us a question about Hochtief. Our stake in Hochtief has increased in 2023. Are we comfortable with the current stake, 76% or 78.5% if we adjust by the exchange rate, what's the plan for Hochtief?
Juan Santamaria: Well, in that sense, in our capital allocation policy, apart from strategic investments and so on, there's always a component, which has to do with when opportunities develop and what sort of returns we can get. Currently, we're getting return from our investment in Hochtief of over 14%. So that metric still works, but obviously it's subject to the value or the trading price of the shares in the market.
Unidentified Company Representative: There's quite a few, but I'm just going to ask one more question, so that we give people in the room a chance to ask questions directly. But there's another which is asking us, if we can give a bit more detail, because we just announced that our target for ordinary net profit is going to be between 10 and 15. Do we have any targets for turnover and EBITDA for 2024 and beyond?
Juan Santamaria: Well, clearly, as you've seen in the trends for the company in our different priority sectors, we've had significant double-digit growth in all of our segments and businesses. And so, we expect that to continue. However, in terms of our strategy and our growth, there is an important component, which is stabilizing our cash flow. And so, we will continue to stabilize that, reducing the company's risks. That's a significant objective. And then there's recurrent profit from our various businesses. But the most important part about the strategy is not so much the numbers, which are the consequence of the strategy, but the value of the platform, which is the ACS Group. And now we're trying to replicate the strategy followed in the '80s, '90s beginning of the 2000s, when there were very strong growth trends for all construction groups in the world because of all that investment in concessions. And so, global groups, including ACS and our competitors grew very strongly from that moment, from all that private investment, which came to a standstill in 2008 with a financial crisis and remained more or less constant for about 10 years. Now it's picking up again, not just in every traditional market. And we've referred to the projects in which we have been shortlisted and in which we will be shortlisted. But also in all the new markets that were opening, because as we move between different construction segments, we're able to invest in those sectors and markets. And so our growth platform at ACS and long-term opportunities are almost endless. I mean, the guidance we've given now is tiny compared to the future potential we see. And which we are already beginning to materialize and will continue to realize over the next months and years.
Luis Prieto: Yes. Good afternoon. I'm Luis Prieto from Kepler. And I have two questions. The first is there is a significant quantity of assets available for sale in your books. And so, I wonder if you could give us more detail about the divestment process for these assets and also how Clece, how that process is going? And my next question is you spoke in about your M&A strategy and how to grow your business inorganically, and you've spoken about different opportunities, but I wonder how you could grow the Turner business in other geographies through M&A to replicate that low-risk, high-growth model. And perhaps that's the topic for the Investor Day, but if you could tell us something now, it would be grateful.
Juan Santamaria: Well, first of all, as for our asset available for sale portfolio, the non-core assets we have, particularly industrial assets, and that process is ongoing. And we hope to realize it throughout this year and the next, and there's quite a lot of value to be captured there. And then, on the other hand, we have Clece, which is not booked as an asset available for sale. But we have announced that we have an ongoing sales process, but it's confidential for now and we're still working on it. And then we have the potential amortization of that 44%, we've still hold the SH-288. But the problem, or the advantage of the 288 is that it's growing a lot. And so every month that goes by, the value goes up too, because traffic and revenues grow month after month and tariffs are now going to go up 15%. So really, we want to try and capture as much as possible of that growth, so that the asset would be fully mature when we sell it. And that asset would be worth probably, I don't know, I can't really give you a number. But those assets together could add up to almost EUR3 billion of non-core businesses, which we could monetize in the coming years. Another very important point I mentioned before, Luis, I'm sorry, and it's something that hasn't really been picked up on previous presentations. But excluding Abertis -- excluding Abertis, we have a backlog of over 90 projects valued equity in our books, not market value, EUR2 billion. And in addition, we have Abertis. And Abertis, one of the things we told you in the Hochtief results earnings presentation was that we were beginning to renegotiate some of our concessions in order -- without additional equity to extend in years and in revenue. And we've confirmed the first one last week. So we have significant potential for organic growth in Abertis as well. Together with the acquisitions we're going to make, plus everything else, means that Abertis will also grow very significantly, driven by the excellent relationship between shareholders as well. So in terms of potential, we really expect very significant growth. We don't usually consolidate the EBITDA, because we don't like doing that. But if we did consolidate the EBITDA of all those concessions, our EBITDA from Infra and other assets would be worth about 50% that of the Group. And that's a variable we don't often talk about. And the question about Turner. Well, Turner is a group which is bringing in almost EUR18 billion revenues right now in the US. And there's a huge sector in Europe which we're not able to access because we don't have the right platform. And so, priority for us is definitely to open Turner in Europe this year. We can do it organically or inorganically. Organically, we have three -- or inorganically we have three potential opportunities we're analyzing and looking at. And organically, of course. But if you look at the market in Europe and the success in the US, and you extrapolate with a 25% success rate for your Turner in Europe, that would be very significant growth for our core sector. And opportunities that would generate, well, all kinds from the small, potential smaller companies we could acquire. Do you remember Sedgman two years ago was an engineering firm, mostly natural resources, focused on coal, and that was because of ESG. It was a company that -- there weren't any major coal projects, so didn't have a lot of backlog. And looking at the strategy, we realized that given their engineering expertise if we could provide our expertise of markets for other natural resources, like lithium, vanadium, nickel, cadmium, rare earths, and so on, copper and iron ore, we could really expand the potential of that firm enormously. And the investments we have made, like Novopro or Onyx, and the one we'll be announcing very soon, which is just about to be signed, have completely restructured Hofmann (ph), and now it's gone from having very little revenue and negative profit to EUR50 million in profit this year, and revenue growing hugely. And well, we've doubled the EBITDA versus the previous year. And the total investments we made is actually tiny. So one strategy is to replicate that same kind of approach with very small companies, which might be strategic in order to reinforce Turner's electromechanical capacity in Europe. But there's also some medium-sized opportunities between 401 billion that we've identified, and then there are bigger opportunities.
Joao Safara Silva: Joao Safara, Santander. I'm from Santander. I have two questions. The first, about what you were just saying about extending the Abertis concessions. I think I've read in the press that you trust that you will be able to extend the duration of the concessions in France. I wonder if you can give us a bit more color on the rationale for that, because the French government doesn't seem to be very willing to extend concessions. And the second question, which maybe again, this would be more for the Capital Markets Day, but it'd be really useful for us to have some idea of the kind of investment level, not with specific acquisitions, of course, but what kind of level of investment, of strategic investment might we be expecting for the next years? This year, it was about, just in Hochtief EUR384 million. Is that the kind of number you expect to replicate in the next years or not? Could you tell us a bit about that?
Juan Santamaria: Sure. When we talk about concession extensions for Abertis, we're not referring to France. The French government has already said it won't be extending any concessions. What we think will happen in France is that there will be new tenders for those concessions. And we think that we are in a good competitive position to bid in those tenders and be awarded some of those concessions. So the concessions that are being extended are not the ones in France, it's mostly the ones outside Europe, because Europe does not allow extension of concessions, but beyond outside Europe, it is allowed. What's happening globally is that the governments in each country need to invest in construction, and they have to invest to get -- to drive their economic growth, and because they need it. There's a huge gap in maintenance of traditional infrastructures without even talking about new sectors when they're actually expanding. And the best way to do that, as ever, has been to extend concessions, increase tariffs and allow the concession owners to invest. But that is not allowed in the European Union. And so, in those other countries, we are seeing a lot of concession extensions and rising tariffs, and that lengthens the life of the concession and the EBITDAs, ex-France. And we're working on it. As well as investment opportunities, we've already identified several portfolios and several investment opportunities, which we're looking at, of course, well-known is the Australian competitive case we're participating in, which is the first one in the short term, but there will be others. Yes, our investment levels, Capital Markets Day, definitely.
Victor Acitores: Hello, Juan. Victor (ph) from Societe Generale. And I have a question about the purchase that have already been made public and have been in the media in the US, highways. Could you give us a bit more information -- first there was the one that was awarded in Denver and Colorado, I think Abertis was bidding with [indiscernible], I think. And I wonder if you could tell us what kind of multiple or what kind of transaction is that as far as the bid that you've presented, which you haven't been awarded the contract? And actually, I'll ask you my second question about the one with Meridian for the 400 in May. I suppose this might be confidential, but what kind of project is that -- is our first the size, and then there's this link thing which you've just mentioned is going to be short term. So what's the timing for that announcement, the Australia one in which you're bidding at Eastlink, okay.
Juan Santamaria: Well, Colorado through that we participated in that tender, but that's a very long-term concession. It doesn't generate any EBITDA or cash flows until a long time from now, like 80 years, I think. So, ultimately, if you take into account the highway with Abertis' business plan, we don't have any problems with receiving dividends after 2040, because by then we'll have the 288 and Puerto Rico and a lot of the greenfields that we have contributed. But what we're interested in doing now is in reinforcing everything between 2031 and 2040. And we couldn't get that from Colorado. And so, in terms of metrics, it was dilutive. And that's why we didn't really bid very competitively in that tender. SR 400, that's one of the several managed lanes projects that are being put up for tender in Australia. And with our experience -- sorry, in the US, and with our experience in toll roads and managed lanes in the US, we're very interested in that kind of project. I'll remind you that 288, the equity invested a 100% at that time was approximately $340 million. And right now we've sold it 100% for $2.7 billion. And we bought the remaining percentage in 2,000 above our 21%. So the multiplier for the 340 to the 2.7 and the 2.7 with the increase in traffic volumes, are already obsolete, because growth in this type of projects is huge. And we have a very good position and there are many projects that are to come. Greenfield projects in the US of this type. No, that's one is even bigger because Georgia, this is the first project, but there's three other projects that are going to be tended in Georgia. And this first one is significantly bigger than the 288.
Victor Acitores: And what is your stake in that consortium?
Juan Santamaria: Equity, it's about 33%, I think. And construction, 50% and [indiscernible], the Eastlink, the process is ongoing, it's confidential. There's not much I could say in that case.
Victor Acitores: Quite a few questions have come in from analysts. A lot of them are asking, where there is one from Graham Hunt, who's asking not just about the past, but also about the future. Cash flow for Dragados, it seems that in this last year and especially in this last quarter, it was weak. But they're mostly asking about our outlook for the future, particularly in terms of working capital and the Dragados business performance. So they're asking about the past, but also about the future of Dragados, if we can give some information about that.
Juan Santamaria: Well, I'll actually say something about cash now because I see there's quite a lot of interest in the markets, as we've seen with what's happened with the share price today. And I'm going to talk about it from different perspectives. First of all, of course, the most obvious, which is the ACS Group as a whole. And the ACS Group as a whole, if you look at cash flows, we have a gross cash flow of EUR2 billion, EUR2.25 billion. That is a number, which clearly, if you turn it into net cash flow at the Group level is EUR1.054 billion. And so, we've gotten over EUR1 billion operating cash flow, that's from operations. And that number is excellent. And when you look at the ACS Group, without Hochtief, which is where all this speculation in the market is focusing, there's an accounting figure in our balance sheet, which does not represent the effective cash flow. And I'll explain why in a minute. That cash flow, first of all is not normalized because there was double taxation this year with respect to last year, if we normalize by taxation, there would be a difference of EUR300 million between the EUR100 million last year and the EUR200 million paid this year, or over EUR100 million in taxes, that should be subtracted from that equation. There's approximately EUR50 million increased interest, which is a one-off, because these are things that are going to be run-off very quickly. And then we have EUR190 million in working capital for Dragados. And all of that is the unwinding we're doing of our working capital, because we're derisking the companies. And as we need to do that, we will continue to do that, because we want a de-risked company, as we've always said. And so, clearly that number, if you look at that normalized accounting number, it's very positive. But in any case, it's irrelevant, because if we're talking about cash flow, you have to look at the real cash flow, without taxes, without interest. And what is that ex-Hochtief for the ACS Group? How much dividend have we received? EUR300 million from Abertis, we received EUR220 million. Let's see if I have the numbers to hand from Hochtief. It's EUR60 million from Dragados, EUR25 million from services, Iridium, so EUR600 million, that's after taxes and normalized and after interest rates, so EUR600 million. And these EUR600 million, what do we do? We use them to pay out dividends. And since part of that is paid out with shares from the previous year, we're not covering that 100%. And so, with what do we pay Hochtief's dividends? With debt, because they give us a 14% return. But since we have assets that we can -- non-core assets, we can monetize, actually speaking about cash flow, let's talk about cash flow and not about accounting. And if we talk about accounting, let's talk accounting. And so, if you understand that it's purely speculation in the market today, of course, we respect the market sentiment, but we're very comfortable with our long-term strategy, we're still convinced of our fundamental value of EUR50 per share, and we believe it's going to keep growing. And to do that, we need to regulate and stabilize the risk of the companies. And to do that, in Dragados, we've had to undo some risk profiles and lower the project levels, so that we won't bid for certain projects. And that means an unwinding of advanced payments. But we have done that deliberately, and it's the right decision. And so, we are very comfortable and happy with the current position, the Group's future prospects.
Unidentified Participant: And as for your actual question, there's also one from Joaquin Ferreira from MultiAtivos (ph), who's asking if we have a goal of reducing the net debt position of EUR1 billion we have at the corporate level.
Juan Santamaria: So he's doing the same calculations as you are doing of looking at it only from that individual perspective. If we're comfortable with this debt level, at the corporate level. Well, we are comfortable, of course, because if you look at the debt in the books, which is 400 net positive cash, or the adjusted by banks and the rating agencies, our ratios, debt to EBITDA are excellent, and operating cash over debt. So we're very, very comfortable in that sense. Although, right now there are lots of opportunities in the market. And so we have, on the one hand, opportunities afforded by our own Group through its bidding process, plus all those other M&A opportunities I've just mentioned in Europe and elsewhere and in digital segments like data centers and natural resources and hydrogen, there are a lot more opportunities, good opportunities. Hydrogen, 100% of the opportunities, maybe 4% really happen. But even if you only pick the really good opportunities, we have an extremely bright future. And now what we have to do is to see how to allocate our capital effectively given the monetization opportunities we have and the debt levels, we still have a lot of margin ahead. But given conditions in the market, I don't think now is the time to focus on debt reduction. I think now is the time to take advantage of opportunities and grow, because we will be able to grow very significantly.
Unidentified Participant: And there's a specific question about -- from Filipe Leite from CaixaBank is asking if there's been any progress with tees and are buying 50%, the additional 50% we don't own.
Juan Santamaria: Well, we mentioned that in the Hochtief presentation, and we are talking with Elliott in order to gradually acquire the rest of tees, because it does add value in terms of metrics, both for cash flow and balance sheet and the debt metrics, which rating agencies look at. So it's a good opportunity, plus there's a lot of growth in natural resources with the whole energy transition trend.
Unidentified Participant: And there's another couple of questions about our stake in Hochtief, apart from ones we already mentioned. Given that we are at over 75%, do we intend to ask for a domination agreement, since we have a right to do so, since we've crossed that threshold? And the other question is whether -- hang on a second, I've lost it here. No, okay. It's just that one.
Juan Santamaria: All right. So, no, in principle, we -- the question of domination agreement is not on the table right now. And talking about the domination agreement, I mean, it's a question that's been coming up for the last seven years. A domination agreement only makes it possible to have rights to manage the company without taking into account the minority holdings with fixed returns. If we operate the company as if it was a 100% owned anyway, so there's no point in giving fixed yield to minority shareholders, it wouldn't make sense. But it's something that comes up every year. And it might make sense in other companies, but in ours, it just doesn't make sense.
Unidentified Participant: There are some specific questions about contracts. Above all, we're being asked, after the successful negotiations in Howe Bridge, where there was a partner of us who's already talked about it, about the Gordie Howe Bridge. They're asking if there's any request or any process which might be a similar kind in the short term. What do you mean in terms of claims, claims up. Claims, right.
Juan Santamaria: Right now, we feel quite calm about the position we've already got with respect to possible claimants. And it's true that we've grown so much over recent years that it's now possible for us to be cautious in the exposure of our balance sheet assets. So we have to say that we feel quite calm about this. And obviously, there might be some litigation, but all it would mean would be that it wouldn't be a hit to the balance sheet, it would just affect our cash flow. And so, in the Group, we've put a lot of litigations which have been going on for some time, which have an impact on the cash flow. So we put them at a discounted level in our P&L. And there are other similar things in the United States that might happen, yes, but they're all positive news, really. Possibly, the benefit we get from these potential receivables is above what we've booked the assets to our balance sheet at.
Unidentified Participant: And from Barclays, we're asked for further clarification. Our target is an ambitious one for net profit between 5% and 10% growth. And so the question is, does that include for this year the EUR780 million of the positive and negative extraordinary one-offs, or is the guidance, is ordinary profit there? And that doesn't mean to say we won't get growth through global operating profit. And we hope that, that will be the case. And about the SH-288, after what you said, are we intending to sell it? Is it available for sale? Is Abertis the only buyer, or might there be other potential buyers? What's our medium-term strategy there?
Juan Santamaria: Well, right now there are several buyers who might be interested, apart from Abertis. And it is available for sale because it's not core business. We've already got 50% of that, 56%. And our idea is to recycle part of our assets to go on investing and maintain a percentage in them. When we establish the 50%, 56% with the Abertis indirect holding as well, is sufficient for the potential revaluation of the SH-288. Yes, we do expect to sell it at some stage. The question is when and how can we maximize its value?
Unidentified Participant: And then, regarding Abertis, several questions. One has to do with its structure, its capital structure, is our aim to issue bonds, maybe hybrid bonds, to get additional capital into Abertis. What's our strategy for that?
Juan Santamaria: Right now, without capital enlargement, we feel quite comfortable with Abertis. And then long-term dividends, we'll have to look at the situation as it comes. But we are looking for opportunities all the time for growth. And I've already mentioned some of them. In non-organic movements with the possibility of concessions, which don't require equity, we've got various potential deals, which would require capital engagement, but they're included in our business plan for the next few years. So we look at the margin which we include in the growth, which is there to include Abertis capital deals, which could happen. But there are a lot of opportunities on the horizon, which would add to the metrics we already have in Abertis. That's important.
Unidentified Participant: Finally, there's another question, which is related to the expected dividend for this year 2024 to be charged '23 earnings. Do we have any idea what is going to be?
Juan Santamaria: Well, we'll maintain our payout policy and our dividends.
Unidentified Participant: Yes. Juan, a final question from me. To try to understand exactly the way you get the implicit value of Hochtief for your books, you've talked about that 14% figure. Is that the internal rate of return you have?
Juan Santamaria: Yes. On current prices? Yes. Present net value.
Juan Santamaria: Okay, if there are no further questions, many thanks to everyone. And if you wish or if you've got any more questions, you can ask us directly. Thank you. And you're all invited to come and share a drink with us right now. Thank you.